Operator: Good morning, ladies and gentlemen, and welcome to B3's Earnings Results Presentation for the Fourth Quarter of 2025, where Andre Milanez, B3's CFO, will discuss the results; along Fernando Campos, Investor Relations Associate Director. [Operator Instructions] As a reminder, this conference is being broadcasted live via webcast. The replay will be available after the event is concluded.
Fernando Tavares de Campos: This is Fernando Campos from B3's Investor Relations team, and I'm here with our CFO, Andre Milanez, to discuss the results for the fourth quarter of 2025. To start, I'll ask Andre to comment on the extraordinary tax effects that mark the quarter and then provide a more general view of the revenues.
Andre Milanez: Thank you, Fernando. Starting with the nonrecurring tax effect that impacted the company's net income for the quarter. First, we had the increase -- with the increase of the social contribution announced at the end of last year, we recognized during the fourth quarter, a negative accounting impact from the update of the deferred taxes. Related to the tax amortization of goodwill an impact totaling approximately BRL 1 billion. It is important to emphasize that the fiscal benefit has already been fully used and therefore, we will not have any other impact on the company's cash generation in the future as a result of this adjustment. This is solely a one-off and extraordinary accounting adjustment that we had during the quarter. On the other hand, we distributed BRL 1.5 billion in nonrecurring interest on capital as well, which was -- which helped to partially offset the negative impact from the deferred tax adjustment that I mentioned before. It is also worth to highlight that we still have around BRL 4 billion in nonrecurring IoC interest on capital to be distributed over the next years, which this will have a positive effect on the company's cash generation. If we were to exclude those two effects in the quarter, net income would have reached BRL 1.4 billion, which represented an increase of 22% in relation to last year. Speaking about performance, the quarter delivered solid results with an 11% increase in total revenues and growth across all segments. I would like to highlight the rise that we saw in ADTV throughout the quarter, which ended December at a level significantly higher than in September, showing a consistent recovery trend, which has been reinforced by the volumes that we have been observing in January and more recently during February as well. Fernando will now provide a bit more detail on the operational performance. Fernando?
Fernando Tavares de Campos: Thank You, Andre. In the derivatives market, even with a slight annual decrease in total ADV, we observed a relevant sequential recovery with increases in mainly all contract groups during the quarter. Indexes and interest rates in Brazillian Reals, products continued to show strong momentum supporting the segment's performance, which was negatively impacted by FX and crypto products due to the devaluation of the USD against the BRL that impacted the RPCs of those contracts. In equities, ADTV reached 26.2 billion, an increase of 2% compared to fourth quarter 2024 and 20% compared to 3Q '25. ETFs, BDRs and listed funds continue to gain relevance, representing more than 17% of the total volume reinforcing the trend of investor diversification and the importance of the company's product diversification strategy. Fixed income remains one of the Big 3 key growth pillars. The corporate debt market continues to show strong progress with issuances and outstanding balances growing consistently. Treasury Direct also had another strong quarter with increases in both the number of investors and outstanding balance. Data, analytics and in technology, we delivered another quarter of solid results. data analytics solutions grew nearly 20%, reflecting strong demand from the credit, loss prevention and insurance vertical. In technology, we expanded the number of clients in the monthly utilization service and observed robust growth in market support services. It's worth noting that starting this quarter, we are including Shipay in this line, which contributed with BRL 5 million in revenue from November to the end of the quarter and added new capabilities to the ecosystem. Now Andre will comment on the remainder of the financial performance.
Andre Milanez: Well, on the expense side, we remained with our cost discipline. Total expenses grew only 1.5% year-over-year with our adjusted expenses up by 4.7%, which was in line with the inflation for the period. We saw some stability in information technology expenses and a decrease in third-party services, which helped to offset increases related to the annual bargaining agreement and the structures that were merged into B3 in the beginning of the year. As a result of that, our recurring EBITDA reached BRL 1.83 billion, an increase of 15%, with a margin of 69%, consolidating another quarter of high operational efficiency. Our recurring earnings per share reached BRL 0.29 per share, a growth of almost 30% when compared to the fourth quarter of last year. Regarding new products, in November and December, we brought to the market new weekly option expiries for the Ibovespa global financial event contracts and the family of products linked to the S&P B3 Ibovespa VIX Index, reinforcing our strategy to broaden our portfolio and offer new hedging and exposure alternatives to investors. Still in the product pipeline, we received very recently authorization from CVM to launch the digital options on interest rates, FX, bitcoin inflation and GDP for professional investors at this moment. Our goal is to continue to work to offer this type of products to more investors and to expand also the products across other asset classes. Another important milestone was the launch in February of this year of the new positioning of B3's data and applied intelligence business under the new brand called Trillia which brings together Neoway, Neurotech, the infrastructure for financing unit, PDtec and DataStock reinforcing the construction of a new culture and strengthening our data and analytics offering. Thank you very much, see you soon.
Operator: [Operator Instructions] Our first question comes from Renato Meloni from Autonomous Research.
Renato Meloni: Just two quick questions. Wondering if you can just give some perspectives for ADTV for the rest of first Q here, really solid numbers on 4Q, and I think we're seeing similar trends here, but I'm just wondering if you have a more informed view to share with us? And then secondly, I'm curious on AI here, if -- how you're discussing potentially with partners or internally any opportunities that you could capture by integrating like data that you have with AI offerings? And how are those discussions there going?
Andre Milanez: In relation to the ADTV, we saw improvements as you've seen in the numbers during the last quarter. January has continued that trend we already released the operational data on January and the average volume in January was around BRL 33 million, BRL 34 billion. February is still showing a good trend with volumes until now going over that mark. So far, it has been a positive trend that continued throughout January and February. As we discussed mainly so far, driven by international investors that have been allocating in equities. Regarding artificial intelligence, we have been exploring opportunities in terms of efficiency in software development and activities that can be -- can benefit from the use of AI. Last year, I think it was a year where there was a lot of knowledge building throughout the organization on the tools and how to use it. And we started to see an increase in the usage of those tools in daily activities in several areas throughout the company. But there is also a lot of opportunities particularly on the data side. Some of our offerings already have the use of artificial intelligence with machine learning and stuff, but we do see room for continue to improve that with Gen AI, with developing solutions that can be sold through agents and these kind of things. So this is going to be also an area of focus on the revenue side on how can we improve or increase our offering in terms of data solutions with the use of Gen AI.
Operator: Our next question comes from William Barranjard from Itaú BBA.
William Buonsanti Barranjard: I have two questions. The first one regarding the ADTV, right, you told us it's going strong in the first quarter. I would like to understand how the margins charged here is faring. If it's similar to what we saw in the fourth quarter if it's going down due to volumes and higher discounts to those volumes or not? And I have a second question regarding predictive markets. Last year, December, we've heard an interview from [ Juan ] from [ Kalshi ] that they were willing to come to Brazil. I would like to understand how you see B3 going forward acting in this market if this eventual [ Kalshi ] operation here in Brazil is something that you worry about or is a different business that you don't want to go to? Those are the two ones.
Andre Milanez: I'll start with the second question, and then Fernando can comment on margins. As we discussed during the presentation here, we are moving towards this agenda of prediction markets, digital options. We just received approval from the Securities Commission to launch the first digital options with certain financial indicators, bitcoin, FX, the Ibovespa index, GDP and inflation, those at this stage are going to be only allowed or for professional investors. We are working towards expanding the access to these products to other types of investors and expanding the asset classes. So this is something that we will be exploring with the market over the course of this year which is not necessarily slightly different from what you've seen in other markets in terms of volumes. They are more concentrated towards other things such as sports and et cetera. This is not something that we will be pursuing at this stage. So it's going to be focused digital options or prediction contracts, whatever you want to call it, focused on financial indicators, which we believe could be very interesting and helpful to the market to investors.
Fernando Tavares de Campos: So regarding margins, equities margins, given how our pricing scheme is structured, there are two main components that you have to think about it. So the first one is volumes. So when you think about volumes, this is something that probably is making our prices and our margins in the first quarter to be a little lower. But on the other hand, you have the mix. And the mix when you have more real money on the market, and that's what we've been seeing in the first 2 months for in flows, mainly from real money and massive managers and not HFTs, so this brings prices up a little. So all in all, we are seeing margins flat compared to the fourth quarter, given those two different dynamics. For the year, it's super hard to predict given that those two components, although the market is optimistic about our volumes, the mix is something that we do not have. It's super hard to predict. So hoping that answers your question.
Operator: Our next question comes from Tito Labarta from Goldman Sachs.
Daer Labarta: A couple of questions also. Just a follow-up on the margins, right? Because last time we saw volumes spiked significantly, like in '21, '22 margin reached 80%. I'm not saying margins are going to go back to those levels. But just at least in the short term, should we see some benefits to margins just given this spike that we're seeing in volumes and then that sort of normalizes over time, which is what we saw some what happened last time, just to try to think about how much room there is for maybe some short-term margin expansion as volumes sort of pick up immediately. Any color on that would be helpful. And then second question, you still have BRL 4 billion in IoC benefits that you can realize. Just any color on the time line for realizing that? And then also not how can we think about the underlying factory, particularly over the next few years as you have to incorporate a higher tax rate.
Andre Milanez: Thanks for the question, Tito. So in relation to your point about margins our -- in general terms, our schedule of prices share some of the operational leverage with clients as we reach high volumes. Having said that, not all of that operational leverage is shared. So on average, prices can be -- average prices can be lower. But that's the benefit of having a business model that has this high degree of operational leverage. So we pretty much need the same cost structure, the same setup to deal with volumes of BRL 20 billion or volumes over BRL 30 billion. So pretty much all of that increase that we see on revenues will flow straight to the EBITDA to the bottom line. So directly to your point, it is possible that we see some margin expansion as a result of that benefit of the operational leverage that our business model has. Regarding the IoC question, so yes, we still have a balance of around BRL 4 billion to be distributed in terms of IoC that was identified not used in the past. This was only possible because of a judicial measure that we took plus the fact that, that was rule as part of a leading case by the superior court. We -- the time line for you to use that will depend a lot on the limits that we will have to deduct that interest on capital, which is the higher of half of our reserves or half of our net income in general terms. So if we have one of those limits allowing us to deduct or to use more of the IoC, we will do that. So as a result of that, this is probably something that we will be discussing and announcing more towards the second half of the year where we will have more visibility as to the level of those limits to maximize how much we can distribute in '26.
Daer Labarta: Great. And just -- excluding that, how should we think about the tax rates, particularly as it's going to be going up a bit?
Andre Milanez: Well, as from the first of April, we will start to see an increase in our social contribution by 3%. That will then be increased by another 3% starting in '28. For the -- as we discussed for the short term, this IoC from prior years will help to more than offset that impact. I think there are things that we have been working on to try to reduce the tax burden that this increase will have in the company. But we will be somehow affected by that increase. I think there are ways, as I said, to reduce the impact of those measures, but this is something that we are still working on.
Operator: Our next question comes from Yuri Fernandes from JPMorgan.
Yuri Fernandes: I have one on operating leverage. Given we are seeing an acceleration on revenues, especially on ADTV and all those questions about margins and how they should track. My question is on the OpEx and CapEx lines. We know you have a guidance right for this year. But just checking given you have new products, new investments, modernization, AI, all those things combined, any chance that in the case you are positively surprised by revenues? We could see maybe a little bit of more higher expenses. I know the business model is its pre-leverage, right? So more revenues not necessarily meaning more expenses, but just checking if we see better revenues, you could kind of anticipate some cost. And then I would like to ask also on data analytics and technology. I think these lines, they have been pretty good lately. There is a little bit of price component, but we also see new products or new verticals doing fine. And this quarter, Trademate that I don't remember if you had a number for revenues, you start disclosing like a number for revenues. So if you can comment on in general terms on those lines data and technology, how should we think how much growth could we expect for this year?
Andre Milanez: So the first one about expenses or operational leverage. Look, I think we have been trying to continuously find efficiencies in our, let's say, more mature activities in order to finance investments that we will continue to do in new products and new services expanding our portfolio modernizing our infrastructure. So at the moment, we do believe that the current level allows us to do that, so we can have a more controlled growth in terms of our expenses and CapEx without having to compromise investments in modernization and expansion of portfolio, et cetera. And that also imposes us a challenge to continuously find those efficiencies. So I don't think the positive trend in revenues changes that dynamic. I think the only variable that we have here is in relation to the what we call the revenue-linked expenses, which we have less control, right, so which are almost a consequence of a positive performance in revenues. If that happens, those should grow. But as a direct -- almost a direct impact of the growth that we will see on revenue. So I think that remains being the case. In relation to the data and technology, I'll pass it on to Fernando to give you a little bit more color, but I can come back at the end as well.
Fernando Tavares de Campos: Regarding data, I think, like you said, we -- it's been a sequential -- we have been seeing sequential good quarters, good growth and it's a quality growth. We have been seeing in 2025 of the growth in data and technology, mainly on the analytics close to 70% was in recurring revenues, which gives us confidence for the future. So like I said, it's been in all the verticals, credit, insurance, even sales and marketing, loss prevention, and it's been mainly with recurring revenues. Although in the fourth quarter, we have more what we say here, one shot revenues, which is common. You guys saw that on the last few years, but it's a quality growth on data. In technology, it's like it's super stable as well. We do have all the access to our platforms and we have inflation adjustment for prices, and we have new initiatives. Regarding Trademate, it's something that you know we've been talking about it for a few in the past. It's something that excites us. In the year, the revenue was almost BRL 20 million. It's basically concentrated still on govies on the trading of government bonds. And we do have plans this year to increase and expand that to the revenues in corporate bonds as well. I don't know if Andre wants to complement.
Andre Milanez: Yes, I think the revenues are on Trademate are still being -- the prices there are still being subsidized at this stage. We are more focused now in increasing liquidity, increasing volumes that are being traded electronically. There's still a lot of room for further electronification in that market, but we are so far happy with the results that we have been achieving, but that can be going forward a more relevant revenue stream for the company besides all the benefits that the market will have as a result of that increasing electronification. I think the only thing I would add is that with the merger that from the companies that we have last year, we are more and more working with all these companies together that was, let's say, marked by the launch of a new identity and brand for this data initiative and the idea is to work more and more closely combining all the skills and capabilities of these companies or the businesses that we had. And in our view, this will help to maximize and accelerate the potential that we have in terms of new products and solutions within that segment. So yes, we are very excited with the potential here and the results that we have been achieving so far.
Operator: Our next question comes from Kaio Prato from UBS.
Kaio Penso Da Prato: I just have a quick follow-up from this question from Yuri, but basically expanded a little bit. You're talking about data and technology, but we have been seeing like really good growth in all of these revenues lines, excluding the volume-linked such as equities and derivatives. So if you look to the rest of the business, the noncyclical part, just wondering if you can share probably this is a little bit more predictable what could be, say, targets of revenue growth going forward for 2026 or even further? Just to understand if you can maintain this double-digit pace or so, if this is a base effect. We are also seeing quite strong growth on the vehicle real estate, the OTC business as a whole. If you can share a little bit more about your thoughts on that would be good.
Andre Milanez: Look, as you said, I think that was part of our strategy. The diversification provides us with different sources of revenue, sources of revenues that are less dependent on the cycles without necessarily raising the benefits of having those also cyclical business that can grow a lot in more favorable moments such as the one we have been seeing or a brief moment that we have been seeing now in the beginning of this year. That's why we also wanted to reinforce or bring -- call the attention of investors and analysts to that point during our Investor Day last year. I think we do believe with the without going into the detail of every line, and I think Fernando can provide more color here, but we do believe that those businesses can continue to grow double digits, some products with maybe high double digits, others low double digits. But we do believe that these businesses have -- we have the ability to continue to grow them at that pace. A lot of that will come from further penetration of existing products, cross-selling of solutions, et cetera, but a lot of that also coming from new products that we have on the pipeline to launch and bring to the market. So at least for the -- for this year and next year, I think this is -- and part of that growth already in some cases, already guaranteed given the nature of recurrency that we have in certain revenue streams.
Operator: Our next question comes from Maria Guedes from Safra.
Maria Guedes: Congrats on the results. So you have been heard for lines that have been performing really well recently, have equities, fixed income data and technology. But derivatives has been some kind of a laggard during last year. And we saw some acceleration in the fourth quarter. But I just wanted to understand what are the expectations for 2026. I mean you have some potential catalysts. You have new products to be launched. You have some moves in interest rates once Central Bank starts to cut SELIC. So do we -- should we expect to see some growth acceleration in the line? Just wanted to hear from you.
Andre Milanez: Look, I think when you talk about derivatives and looking to what we saw last year, right? First, I think we had a very high comparison base, '24 was a very strong year for certain asset classes, particularly for derivatives on interest rates. We have to remember that there was a lot of volatility in the interest rate curve. We saw -- we started with the Central Bank cutting rates and then very suddenly changing hands and starting increase rates, again, that helped or triggered a lot of volatility and therefore, a lot of trading activity on derivatives last year. So that made the comparison more difficult. We also had the event that we discussed previously in terms of the increasing margin requirements that have had an impact on the volumes for the crypto derivatives. But in general terms, I think with the agenda of continuously launching new products with an expectation that given that this is an election year, that we will have more volatility and also with, as you said, expectation that we might get in closer and closer to the beginning of an easing cycle, I think all of those factors will benefit that business segment, and therefore, we can expect a better performance here than we saw last year. But again, not all of that is under our control. But the perspective is definitely more positive for that segment for those reasons that I described.
Operator: [Operator Instructions] This does conclude today's Q&A section. I would now like to invite Andre Milanez to proceed with his closing statements.
Andre Milanez: I just wanted to thank you all for your support for joining the call and listening to us. I think '25 was a very positive year for the company, a year where we were able to see the results of our strategy, playing an important role in delivering growth A lot of initiatives that were launched and worked on doing '25 that are going to also be important to the future growth of the company. And we entered '26 very optimistic and very excited with the opportunities that we have ahead of us and hope to continue to count on your support. Thank you very much. Have a nice day.
Operator: That does conclude B3's presentation for today. Thank you very much for your participation, and have a wonderful day.